Operator: Good afternoon, and welcome to the MGM Resorts International First Quarter 2025 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer and Treasurer; Gary Fritz, President of MGM Interactive; Kenneth Feng, Executive Director and President of MGM China Holdings; and Howard Wang, Vice President, Investor Relations. Participants are in listen-only mode. After the company's remarks, there will be a question-and-answer session. In fairness to all participants, please limit yourself to one question and one follow-up. Please note, this conference is being recorded. Now I would like to turn the call over to Howard Wang. Please go ahead.
Howard Wang: Thank you, Gary. Welcome to the MGM Resorts International First Quarter 2025 Earnings Call. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we have also furnished our press release on Form 8-K to the SEC. On this call, we will be making forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures when talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. I will now turn it over to Bill Hornbuckle.
Bill Hornbuckle: Thank you, Howard. And before we get started, on behalf of everyone at MGM, our condolences go out to the family, friends, colleagues and all those who are impacted by the passing of Alexis Herman, our beloved and longtime MGM Resorts Board Director and the first African-American to serve as U.S. Secretary of Labor. Alexis was an incredible woman and a tireless champion of our company and our culture, helping us to ground every Board deliberation with her compassion, her sound judgment and valued business expertise. She was always so generous with her time, proving individual career mentorship to myself and many other leaders at MGM and throughout our community. As a public servant, she will always be remembered for her hard work to secure low unemployment, safe work conditions and a global standard for child labor opening doors for individuals, individual pursuits and advancement of livelihoods. Her life's work touched so many and she truly will be greatly missed. We at MGM are fortunate to have a foundation built on exceptional employees and leaders, and I'm pleased to share with you today that their efforts have driven yet another strong quarter of financial results, highlighted by an impressive turnaround at BetMGM. Make no mistake, our ability to deliver outstanding experiences to our customers and strong results to our shareholders start with my colleagues across MGM Resorts. We've maintained record-level net promoter scores for our Gold+ customers once again this quarter. Their collective hard work culminated in a notable milestone this month when our MGM Rewards program crossed 50 million members, which represents growth of over 50% since 2020, an achievement that reflects the staying power of MGM's iconic brands and our powerful customer insights, which can amplify the Marriott partnership and drive omnichannel opportunities, particularly with BetMGM. I'm confident in saying no other mature gaming company has seen the database growth as strong as we have over the same period. As we navigate the balance of the year, our business is on solid footing. Led by our luxury offerings, we delivered an elevated experience to more guests than any of our competitors on the Las Vegas Strip, making us prime beneficiaries of a strong citywide events and convention calendar. Our business is also equipped with ample liquidity, a strong balance sheet and operational agility, specifically our experienced operators and leaders have shown the ability to adjust quickly in varying economic conditions, which have presented themselves throughout the company's lifespan of nearly 40 four decades. We ended this year on offense with a $200 million EBITDA enhancement plan already in motion. We now believe we fully can implement more than $150 million in 2025. We are also seeing continued growth from our existing exclusive Marriott collaboration, which we still expect will account for 900,000 room nights this year, up from the 660,000 last year. Adding to these, our diversity in geography and market mix is once again proving to be a strength during these times of volatility. To setup in Las Vegas remained steady with a favorable room supply dynamic as current rooms under construction represent only 1.6% of the existing supply among the lowest of the top 25 MSAs. Additionally, second quarter 2025 airline capacity at Harry Reid Airport remains scheduled at record levels. Domestic flight capacity in each month from April to June is up 2%, with 14 of the 25 largest metro markets increasing capacity into Las Vegas. Our Las Vegas Strip Resorts were solid, despite in our regional properties operations remained steady with only a modest decline in revenue due to some incremental weather. Importantly, we ended the period strong with records for the month of March in RevPAR and slot win. Also, we have once again shown the ability to generate segment adjusted EBITDA margins at or above 30%. Switching over to China, MGM China is maintaining mid-teens share, ending the quarter at 15.7% even with new supply ramping up in the market. We continue to be proud and we are able to debut 10 new villas in MGM Macau today with another 18 opening by the end of the year. At MGM Cotai, we are in the process of adding 60 new suites that are targeting a first quarter 2026 opening. These are welcome new room products that will help support demand from our premium gaming customers. As solid as our various business segments have performed, the spotlight shined brightest on BetMGM this quarter. The venture reported an increase in net revenue from operations of 34% for the quarter and EBITDA of $22 million, representing a tremendous improvement of over $150 million from the prior year period. IGaming net revenues for operating grew 27% and online sports net revenues from operations grew 68%, each on the heels of strong engagement improvement. We have previously discussed the focus on iGaming and a more thoughtful and profitable approach towards customer acquisition and the team has executed on it impressively for the year-over-year turnaround. MGM Digital, our consolidated international digital business that does not include the BetMGM venture made great progress during the quarter as well, with the launch in Brazil and our first deployment of sports betting platform that we acquired from Tipico last year. In Brazil, we have seen evidence of early traction with healthy retention rates. Also having a fantastic media partner like Grupo Globo has provided flexibility in marketing, allowing us to be very deliberate on entry. We are focused on executing our marketing plan throughout the second quarter as this business continues to ramp. And we're excited to launch our live dealer platform from the MGM Grand later in May. In Japan, we've made meaningful progress. Earlier this month, we entered into an agreement with our general contractors to proceed with construction activities as planned and we held an official ground opening braking ceremony in and Osaka on April 24. Stateside, we remain on track to submit our RFP in New York over the summer and continue to expect to hear back on our licenses before year's end. Overall, MGM is well positioned for the future. We have market-leading operations in Las Vegas and the regions and the resorts have received significant investment in care over most recent years. Our digital businesses in the US and beyond are growing and turning profitable. And we have an inevitable pipeline of future project opportunities in Japan and hopefully New York, as well as a durable financial profile, including ample liquidity and a very solid balance sheet. I'll now turn this over to Jonathan to provide further details on the quarter.
Jonathan Halkyard: Thanks, Bill. I'd like to echo your comments about our team here at MGM Resorts. We've delivered a really strong quarter of results despite a difficult year-over-year Super Bowl comp and overall market volatility. These results are a testament to the strength of our operators, the teams who support them and our employees who execute with excellence every day. So a huge thanks to the team. In Las Vegas, performance was solid, particularly when taking into account our expected year-over-year impact of about $65 million related to the Super Bowl last year, plus the impact from the room remodel at the MGM Grand this year, which we discussed in our last call. Segment adjusted EBITDA was down $17 million and included $37 million in business interruption proceeds during the quarter. When considering the puts and takes of the quarter, we more than made up for the headwinds. The value of the Marriott strategic relationships was notable this quarter, helping to achieve record first quarter occupancy. The incremental customers also helped drive record first quarter slot win, which was up 7%. The Regional Operations held in well. And when adjusted for the $12 million of business interruption proceeds we received, the EBITDA decline was mostly attributed to challenging weather at the start of the quarter. The regional operators ended the quarter on a high note, as Bill mentioned, with record March slot win. RevPAR in the regional hotel portfolio impressed, hitting monthly records for each month during the quarter. In Macau, margins held in at 28% due to strong OpEx control and other efforts to maximize the efficiency of our assets. The result was also notable given the advent of several very successful initiatives to drive tourism, including the Macau 2049 Residency Show at Cotai and the Poly Art Museum at MGM Macau. Importantly, MGM China increased its dividend payout policy to 50% of distributable profits, up from 35%. And earlier this month, MGM China closed on a new larger revolving credit facility, which provides about $3 billion of liquidity and represents approximately $1 billion of increased capacity and extends maturities for four years to 2030. BetMGM continued its acceleration in the first quarter, reported positive $22 million of EBITDA, that's up $154 million from last year. And it's worth noting that the prior year was impacted by a number of headwinds, but these results reflect the strong execution against the strategy and the start of its returns. The business is healthy and it remains on track for its guidance of $2.4 billion to $2.5 billion in net revenues from operations this year and positive EBITDA. And recall that the BetMGM results are reflected one month in arrears when recorded in the MGM Resorts' results. MGM Digital, which is our consolidated international digital business and it doesn't include BetMGM, continues to make progress. Revenues in this segment were impacted by adverse effects of regulations in the Netherlands and some tough comps in our largest market, Sweden, though we've seen some meaningful recovery starting in April. The year-over-year segment adjusted EBITDA decline for MGM Digital was anticipated due to additional headcount for strategic growth as well as costs related to the launch of BetMGM in Brazil, where we've increased our marketing momentum to start in the second quarter. We note that this quarter, we provided quarterly historical data in our investor presentation for the MGM Digital segment to help with your modeling. In Japan, MGM's equity commitment has increased to JPY428 billion, of which we now have remaining about JPY392 billion to invest for our future 43.5% ownership stake. Despite the increase driven by updated spend estimates as we finalized our negotiations with contractors, we still have a high conviction in a high-teens percentage return on this project and remain on time to open in 2030. One item impacting corporate expense, I want to highlight, is a $9 million charitable donation that we proudly made during the quarter for an important City of Las Vegas initiative that makes the balance slightly elevated, but otherwise, this line item is consistent with our historical levels. We remain dedicated to continuously improve our business. Recall, we estimate the collective impact of enhancements that we announced last year will boost EBITDA by a run rate of $200 million. And we're now pacing to capture more than $150 million taking effect this calendar year, 35% of which comes from revenue actions and 65% from cost savings. Now I view our cash flow generation as our consolidated adjusted EBITDA plus our non-cash rent minus our CapEx. And this not only provides us the ability to remain committed to all of our capital projects, but also take advantage of any dislocations in our stock price as a result of market volatility. Like we did in the fourth quarter, we saw significant value in our share price in the first quarter and we took advantage by repurchasing shares. When you strip out the value of MGM China at its market value and assign a consensus value to our BetMGM venture, you end up with an implied multiple of just 3.3 times trailing 12-month adjusted EBITDA. To say nothing of the value of MGM Digital, the business we know is capable of $1 billion in run rate top line with double-digit EBITDA margins. We think the current price represents an attractive opportunity and have continued to buy back stock. We repurchased nearly 15 million shares for about $494 million in the first quarter and we purchased another 8 million shares in the second quarter to date for $215 million. As we end April, our share count is nearly 45% lower than it was when we began our buying program. And we've received Board approval for the ability to repurchase another $2 billion of shares. I'll turn it back to Bill.
Bill Hornbuckle: Thank you, Jonathan. When I think about our business, it starts in Las Vegas, which remains on solid footing with our luxury offerings driving key results. This is complemented by the stability of the regional operations and MGM China, which clearly is now out punching its weight and maintains a mid-teens market share. We've also witnessed significant improvements in our BetMGM venture results and with the MGM Digital segment is showing good early traction. And as Jonathan once again articulated, we see a dislocation in the markets for the combined value of these businesses and are taking advantage by repurchasing our own shares. With that, operator, we'll open it up for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Brandt Montour with Barclays. Please go ahead.
Brandt Montour: Hello, everybody. Thanks for taking my question, and thanks for all the details today on the call. The first question is about Las Vegas. Obviously, really reassuring commentary about April and how that's tracking. I was wondering if you could just unpack that April comment in terms of the major KPIs, which of those KPIs are growing stronger, which are a little weaker? How do you think about April?
Bill Hornbuckle: Sure. Jonathan, you want to kick it off?
Jonathan Halkyard: Sure. Yeah, I mean, the first thing that we look at is just overall demand as evidenced by things like hotel occupancy and rate. And so as we mentioned in our prepared remarks, April in Las Vegas is shaping up to be a record April for the company, which is we think a very positive. Another area that we look to is group performance and event performance. And also, we've seen very strong response to events here in the market and our properties specifically as well as groups and the actual number of group participants that materialize and come here and spend. The final thing I'd add is that, Marriott. The Marriott partnership for us is performing exceptionally well. We already have just through April, 440,000 room nights that have been booked. And you do the math, it's over 20,000 room nights a week are being booked through the Marriott channel and these are customers that we think are very accretive as compared to the customers that they would -- that they've replaced. So a couple of thoughts on that. Bill, did you have anything?
Bill Hornbuckle: Yeah. Maybe one other thought, Brent, that kind of puts it into some perspective. Normally we book about 40% of our business 30 days out. That window has extended both in March and April to like 43 and 44 something of that ilk. But we still got to the desired result. And in April, we actually in the rooms department, beat that both combination of OCC and rate of note. And so while it may be coming in later based on obviously the overall economic condition of people's mindset in the world, it is still coming to Las Vegas and we're still the beneficiary of it. So we feel excited by that, as we think excited about the right word given the environment we're in. But we're encouraged by that given as we think about the balance of the year.
Jonathan Halkyard: And the only other thing I would add is, our slot volumes continue to be positive as we saw in the first quarter.
Brandt Montour: Great. That's all really helpful, everyone. And just following up on that and maybe you could just square this with everything everyone sees on the news, et cetera. But specifically with regarding international inbound, it's been pretty well documented that inbound from Canada has been soft and some other major source markets that you guys get business from. But specifically regarding your higher end, which we would think would skew even more toward that type of business, how are you able to make up for that?
Jonathan Halkyard: Well, on the higher end, it's not really having any impact at all. Actually, we just had an amazing event in April with our higher end component of it. It's really the leisure type business, the Canadian business that is down, but we've been able to make it up in our Marriott blocks and in our casino blocks.
Bill Hornbuckle: WestJet is the biggest carrier. They are down about 15%, but we're only down about 3% or 4%. And obviously, it's down. We understand what's happening again. But again, Marriott, large scale casino base, BetMGM consistently omnichannel pounding, and ultimately, a once in a lifetime baccarat term of $10 million helped.
Brandt Montour: Excellent. Thanks, everyone.
Operator: The next question is from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, guys. Thank you. It looks like in the -- in your filings, you disclosed obviously some of your payroll and labor, and the year-over-year increases appear to be less than some of the escalators. Could we kind of read into that, that part of that is the efforts as part of the $150 million that you expect to achieve this year? Or is that kind of in excess of -- or is this kind of a separate initiative, I guess, I should say?
Jonathan Halkyard: Generally, yes, you can read into that, but that's a -- that is, I guess, really a result of our continuous efforts to manage our costs here. It is -- it's certainly true that we've been able to manage growth in FTEs across the company. In fact, in the first quarter, we were down in FTEs across our regions, Las Vegas and our corporate office. So it's not -- we can't tie those numbers to any specific actions we've taken. The fact of the matter is that we're always managing our labor expenses and you're seeing a reflection of that.
Bill Hornbuckle: And Carlo, I think in the front end of our business, we've seen a -- we're beginning to see more and more digital interaction, whether it's concierge or call centers, people calling down for I want a pillow from my room. And so the digital interface, which is probably carrying 80% of the traffic now at least initially and ultimately a small spattering, although we're going to get more and more news of AI, is proven to be very productive. And so we're going to continue down that track.
Carlo Santarelli: Great. Thank you, guys. And then just a clerical kind of follow-ups. As it relates to the business interruption insurance, is that in revenue and EBITDAR or just EBITDAR? And could you give us any color? I know this is hard to handicap, but on any further proceeds you might expect to receive later in the year or in subsequent years? Or is this kind of wrapping it up?
Jonathan Halkyard: Yes. It is -- it's an EBITDAR. It's not recorded as revenue. It -- we have now collected over $100 million, of course, a lot in the third quarter last year and then another good slug this quarter. We're not finished. We're still in active discussions with our carriers. And we do have significant claims remaining. That being said, I think we have received the majority, I would say, over 50% of what we expect. And it will be, I think, lumpy from here on out and not as significant as we've collected so far. But we're really -- we're very pleased having brought $100 million in for our shareholders over the past six months.
Carlo Santarelli: Great. Thank you, guys.
Operator: Thank you. The next question is from David Katz with Jefferies. Please go ahead.
David Katz: Good morning. Afternoon, everybody, I think. I wanted to just follow-up on the comments regarding Japan. And it says that you've sort of locked in with your contractor just in the context that materials availability and cost has become a discussion point. What variability is left in that from this point forward given the size of the project?
Jonathan Halkyard: Yeah. We -- thank you for the question, David. We've been hard at work with our partners, with the contractors to, of course, define the project itself, get it designed and nail down the major contracts. But on the one hand, there will be some variability in terms of costs as we go forward related just to overall input costs. We've done, I think, a good job of building in contingency into our budget for that potential. On the other hand, unlike other parts of the world, really before we even commence on a project like this in the coming quarters, the project will be fully designed. So in terms of scope, we don't expect that to be a factor at all in any changes in the cost of the project. And just couple more items. We together with our partners, we're going to be looking as we go forward for opportunities to be as cost-efficient as possible in the construction. And then finally, for our equity commitment, we've already hedged over half of our commitment in the forward yen markets to lock in some of these favorable exchange rates against with the dollar and the yen. So we're all fully hedged through the middle of 2027 in terms of our equity contributions.
Bill Hornbuckle: And then, David, on the other side of the equation, because we haven't really focused on this in some time, we said in the prepared comments, high-teens return. Look, if we use Singapore as a proxy, a couple of interesting stats, five times more of the population, if you just think of the Kansai Basin, never mind all of Japan. We have the same number of table games. We'll have twice the number of slots. Singapore just did over $600 million in the first quarter. To think this thing can't five years from now or four -- and five years from now is 2030, do over $2 billion in EBITDA in return, is we're excited by what the opportunity could ultimately be there.
David Katz: Noted. And just following up quickly on your comment regarding the Bonvoy partnership. It sounds like it's going obviously quite well. I don't know if that's exceeded or meeting your expectations. But any possibility or thoughts about expanding that in some fashion going forward that you might be willing to share a little bit with us?
Bill Hornbuckle: It's exceeded it. I think you know, this by the deal, we we've obviously committed to [indiscernible] over the first 10 years, we have yet another property here in Las Vegas we need to commit. So we're spending time and energy eventually thinking about that. And then Tony and I have talked briefly about the notion of international and potentially where this relationship could go, whether it's Japan or other places. And so we'll spend some more time thinking about that, but there's nothing definitive. But notionally, that's -- we love this partnership so far. And so all things considered.
Jonathan Halkyard: I would -- David, I'd just add, there has been one, I consider it an important expansion in the partnership recently, which is the inclusion of group customers here in Las Vegas. Where now if you're coming as part of a big meeting or convention and you're staying with us, you can get your Bonvoy points. And that makes us a very appealing destination for meeting planners and not to mention the participants themselves. So I think that's going to really help turbocharge the production out of the Marriott deal.
David Katz: Got it. Thanks, and good evening.
Operator: The next question is from Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Hi. Good evening, everyone. Thanks for taking my question. Bill or Jonathan, wanted to expand just to maybe wrap-up on Japan since we were talking about it. Could you just remind us of the overall budget either in dollars or in yen for the project as we sit here today, just sort of a housekeeper there and the let of your equity contribution there just again for kind of modeling? And then the strategic question would be on New York. We obviously saw one of the large participants in the market here sort of change their programming or planning around that. We've definitely heard other people discussing sort of their strategy to that market. Where does MGM sit as it relates to New York? Thanks.
Jonathan Halkyard: Yes. So our -- in terms of the overall cap table for the project right now, our commitment of $428 billion -- sorry, JPY428 billion is about a 43.5% equity interest. Our partners ORIX and then minority shareholders make up the balance of that. And then we have a JPY530 billion credit facility and -- on the project. So that's the cap table as it stands right now. We expect our equity -- our contributions to occur over the next four years, including 2025, about $600 million to $700 million per year. And then the credit along with our equity partners. And then the bank facility will kick in at that point in 2028 and carry the funding through to the opening in 2030. So that's just kind of a rough overview.
Bill Hornbuckle: And then on New York, we are planning to make our submission at the end of June, which I think we all understand is the date. We haven't changed appreciably the plan. We like what we came up with. I think we're comfortable with the city. We're going through and got most of our environmental impact study done, et cetera. And so we really haven't changed the plan. It is of interest. We watch where the others are going and potentially where they'll go. It's our anticipation there will still be three licenses. We'll take a unique position. I think we always have there. And so it's all things being relative, and see what happens. You never know. It is New York. We'll make that submission next month or end of next month.
Shaun Kelley: Thanks so much. And then just to change gears for a second on MGM Digital. I think I caught that. It sounds like you're going into a little bit of a marketing phase there in Brazil. Can you just remind us of maybe the cadence of investment around, especially this year, as I think it's a little lumpy as you're kind of building out that business versus kind of what maybe your exposure or your processes for the year after? Just help us think about the investment period here.
Jonathan Halkyard: Yeah, thanks. Things are starting off terrific in Brazil. We've been live since Q1. In terms of the pacing of investment, we believe that the first half of this year probably bleeding over a little bit into Q3 is the core of our marketing deployment. We probably got off to a little bit slower start than we anticipated. So that may shift out by a month or so. But principally, the marketing - -the real marketing dig against the business will occur over, let's call it, the next six months, and then we'll see those investments begin to tether. That's the current plan.
Shaun Kelley: Thank you.
Operator: The next question is from Stephen Grambling with Morgan Stanley. Please go ahead.
Stephen Grambling: Hey, thanks. I think over the past four years, your repurchases have been about almost now 95% of the current market cap. And you also highlighted the discounted EBITDA multiple on the domestic business. So I'm curious, are there other opportunities to create value either by monetizing assets or simplifying the story that you're thinking about or that you would think about if the stock stays rangebound?
Jonathan Halkyard: Yeah. Well, thanks for that question. And we have seen a tremendous opportunity recently just in repurchasing our own shares. I mean, the -- we put a page in the presentation this quarter that we've done from time to time, but really the situation with the trading in the stock has just presented us with, we think, a fantastic opportunity to repurchase shares for the shareholders. I mean, you brought up ways to kind of monetize that. You could look not to -- not too far in the past where we were able to sell Gold Strike Tunica for, I think, that was about 11 times EBITDA, The Mirage for, I think, it was 14 or 15 times EBITDA and now we can buy the Bellagio and Aria for three times EBITDA. So we think that, that's a pretty good use of capital and that's why we've been so aggressive in the past four months.
Bill Hornbuckle: And then, Stephen, remember, I suspect you do that Northfield Park and Springfield are ongoing discussions. So those are assets that we've been talking about for a while.
Stephen Grambling: Yeah, makes sense. And maybe one quick follow-up. Just on the digital side, I guess, is there any way to think about the contribution from an omnichannel standpoint, the benefits that you're getting outside of just that MGM individually, but how it may benefit the retail business as well or the brick-and-mortar business?
Bill Hornbuckle: Yeah. Well, look, we certainly see beyond just the direct benefits between the marketing synergy and the synergies with our host teams here in Vegas helping BetMGM. On the regional side, I mean it's just like another reason for folks to be an MGM customer in region is the fact that they can continue that relationship with us, both in their on-property play and play at home, and we've built the rewards ecosystem to underscore that. We have event programming around that to encourage customers for their play in both channels. And that's really borne fruit in markets like Detroit and in the capital area as well.
Jonathan Halkyard: And what we have seen definitely in this quarter, in particular, our trips up pretty significantly in our spend. It's on a little bit lower base, but they're pretty significant numbers we're beginning to see out of that channel.
Stephen Grambling: Great. Thank you so much.
Operator: The next question is from John DeCree with CBRE. Please go ahead.
John DeCree: Hi. Good afternoon, everyone. Jonathan, maybe for you to piggyback on that last question. Can you talk a little bit about how you think of share repurchases going forward as CapEx starts to ramp-up? I think if I heard correctly, your equity contribution for Japan would be up [JPY600 billion to JPY700 billion] (ph) per year beginning this year and New York maybe around the corner, if you're lucky enough for that opportunity. And so, how should we think about your approach to balance sheet management and repurchasing as that CapEx steps up a little bit? I guess the specific question there is, would you let leverage go up a little bit to take advantage of all the opportunities in front of you, if they should stay this way?
Jonathan Halkyard: Yeah. I've probably been saying for six quarters that our pace of share repurchases was going to was going to come down slightly and we haven't really done that just because we've looked at the math, some of which I just went through and said this is a really compelling opportunity. But that being said, yeah, our Japan equity investments are now closer. New York is coming closer. So it will be important for our own planning to reserve some capital for those investments. I would not be adverse to letting leverage tick up a little bit in order to fund some of these opportunities. We do enjoy the diversification of our operations here in Las Vegas and the regional markets. We have a nice dividend flow at MGM China. And we are really not investing any more capital in BetMGM or MGM Digital for that matter. Those investments are behind us and those businesses are really primed to grow. So -- but I do think that for the -- the remainder of this year will not be as aggressive as we've been in the first four months just recognizing some of the things that are in front of us right now.
John DeCree: Got it. Understood. That's helpful, Jonathan. And then if I could for a follow-up change gears to Macau a little bit. We've asked a lot of questions on this call and previously about Vegas and indicators that you see there as it relates to domestic demand. We probably have similar questions as it relates to Macau and the Chinese consumer. So curious if you could give us any insight as to what you're seeing really since the beginning of the month when the tariffs went to effect, if there's been much change in how you're booking business and kind of visitation levels that you're seeing in Macau? And anything you could share would be helpful.
Bill Hornbuckle: [indiscernible], you're living it every day. Why don't you take this?
Unidentified Company Representative: Yeah. Okay. Thanks for the question. So far, we are not seeing any material impacts. And we are continuing to closely monitor the situation. In Q1, our business our business was resilient and we saw our market share. As we all know, China government is taking all kinds of measures, policies to spur the economy. Macau is resilient. Macau market is resilient. It's unique. So we see our business is quite stable. Actually, we just had like today is the first day of a Golden Week and we had a pretty good stronger pre-holiday week. And today is the first day. So our booking is pretty strong. We feel confident of for these upcoming holidays.
John DeCree: Thanks, [Wang] (ph). I appreciate it.
John DeCree: The next question is from Barry Jonas with Truist. Please go ahead.
Barry Jonas: Hey, guys. With the likelihood of higher tariffs, could you talk a little bit more about how that could impact operations and budgets for some of your domestic development pipeline?
Jonathan Halkyard: Right now, it's hard to see how it would have much of an impact on the development pipeline. We've been focused more in the near term on its potential impact on just cost of sales and operational considerations. And it's quite a small impact. We've done virtually all of our slot purchases for the year. We have alternatives as it relates to some of the consumables that we -- that might be subject to tariffs. So we think we can manage that impact considerably during the year. Same goes on our technology investments. We've done a lot of that in the past 18 months, things like PC refreshes and those types of things. So that will be a very limited impact. And I don't really see much of an impact that's going to have on our development ambitions, at least in the next year.
Bill Hornbuckle: I mean, Barry, the only thing on the obvious horizon is New York that would be domestic. And we're not building a high rise, so even the steel will be de minimis.
Barry Jonas: Got it. Got it. Okay. And just for a follow-up, Bill, I saw you were out in UAE recently. Can you maybe talk about next steps there for the hotel in Dubai and any gaming opportunities? And then just also interesting to see Barry Diller was with you. Is that strictly from a Board perspective or there may be some ways you can work closer with IAC? Thank you.
Bill Hornbuckle: Well, look, we've worked closely with IAC ever since the inception of their investment. I mean that Joey has been instrumental in some of our digital business and very ultimately with creative and the content pieces of our business. And so it's always been integrated in that context. They're very active Board members, and we enjoy that. Actually, Paul Salem, Barry and myself and one other individual on our team, we've been kind of overriding this thing for the last couple of years. A gentleman named Ari Kastrati went out there. Key mission was to see the prince and to update him on our project, tell him the opportunity that we thought it could bring, not only in the context of a fully integrated resort like we're building MGM, Aria, Bellagio, but the potential gaming could bring to not only UAE, but Dubai specifically and the whole notion of entertainment and the kind of unique things that we could bring to the city. And it was a great conversation. It's completely in their hands. This is just like the states. It's a -- it's in the province of any one of the individual rulers to determine whether they want gaming or not. They haven't said yes, they haven't said no. We are building an environment that can accommodate it. And that building is due to complete third quarter of '27. We are literally up on the fifth floor of the MGM Tower as we speak. And so it's pretty exciting building. It's an exciting project, a truly interesting resort with all kinds of features. And so hopefully, we'll get to ad gaming. But it's the ball truly now having made this -- taking this -- and them taking us -- receiving us is in their court.
Barry Jonas: Great. Thank you so much.
Operator: And the final question today is from Chad Benyon with Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. Just wanted to circle back a little bit on some of the Vegas comments around non-gaming. Bill, you mentioned the impact from Marriott just from kind of a qualitative level, but were non-gaming KPIs up if we think about excluding the Super Bowl from a year-over-year standpoint, whether we're thinking about January, March or just kind of taking out that $65 million impact? Just trying to get a sense of if you're seeing any sensitivity given where prices are on some of the food and beverage, shopping, et cetera at your properties? Thank you.
Jonathan Halkyard: Really no change in trend during the quarter as it relates to non-gaming spend. Things like entertainment spend kind of ebb and flow with the number of events that are going on in town. And as it relates to spend per cover in our food and beverage or retail, those trends were all pretty consistent during the quarter.
Corey Sanders: When you take the Super Bowl out of it, our revenue for occupied rooms are actually up about 3%.
Chad Beynon: Okay. Perfect. Thanks, Corey.
Corey Sanders: I'm sorry, go ahead.
Chad Beynon: Please finish.
Bill Hornbuckle: One thing on programming, because I think it's important and look, we all have eyes wide open on where all of this could go. But if I think about the calendar, we have 0.5 million more seats available in the market this next coming quarter, the second quarter than we did the first quarter between events at Allegiant, T-Mobile, at all the big block event houses. So we're adding 0.5 million seats, everything from Post Malone to Gaga is coming back. We're hosting an [indiscernible], Coldplay, Beyonce. And I could go on and on and on. So activity case is ripe and good, better than '24, replicates somewhat '23. And so we're excited by that. Time to tell when. Like I said earlier, 44% of your bookings in the last 30 days, you don't know until you know, but we like the programming, we like the momentum. We like our ability to control expenses. I think we're in good shape there. And what we've been able to do with labor and other costs, I think have collectively put us in the position that we're in.
Chad Beynon: Great. Thank you. And then back on the tariffs, one of the other competitors in the space paused a major project in the US here just because of uncertainty around cost and just getting the materials in. I know you're far out from planning anything major like New York and the US, but as you think about regular CapEx or maybe even a little bit further on some of those bigger projects, do you think this will change how you're thinking about ROIs to the point where maybe something would be off the table or it's still high enough above the cost of capital that it's kind of a no-brainer still? Thank you.
Bill Hornbuckle: Well, yeah, if you take New York out, and I think our capital issue is about $800 million of which is a couple of hundred million in what we consider true growth capital and there's about $600 million in core issues tied to IT, tied to room remodels. This year, as you know, we're doing MGM. I think next year is Aria, followed by Cosmopolitan in '27. Where we source for those projects, meaning those room remodels because that's the biggest thing that I think could be tariff-related, we'll have to pay close attention to. But unless something happens more macro with the environment and our balance sheet, we wouldn't change our thinking around those significant remodels. And so, no. I guess the answer to the question really is no other than that.
Chad Beynon: Great. Thank you, guys. Appreciate it.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks.
Bill Hornbuckle: Thank you, operator. And again, I'd like to thank everyone for joining us today. I think maybe to reiterate, we have a best-in-class high-quality portfolio of assets, both digital and physical. We think we'll generate and continue to generate meaningful cash flow, enabling us to take advantage of just about any opportunity, whether that's building in Japan or buying back shares at attractive multiples. I think we need to reiterate what Jonathan walked you through, understand the macroenvironment, but we are literally trading at 3.3 times multiple in our core business. And we see significant insight, obviously, ultimately with our digital businesses. As we look ahead, we're confident that our experienced management team, which has adopted through numerous economic cycles will further provide the ongoing resilience of the business we've had so many times before. Obviously, we have seen this. We're all veterans in many of these activities, better or worse. And we really think we're in a good space and a good place. And we do think Las Vegas is resilient and it's proven itself to be. And so we like where we are generally speaking. So thank you all for joining us today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.